Operator: Good morning, ladies and gentlemen, and welcome to Trustmark Corporation's Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation this morning, there will be a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded. It is now my pleasure to introduce Mr. Joey Rein, Director of Corporate Strategy at Trustmark. Please go ahead, sir.
Joey Rein : Good morning. I'd like to remind everyone that our fourth quarter earnings release and the slide presentation that will be discussed on our call this morning are available on the Investor Relations section of our website at trustmark.com. During our call, management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and we we'd like to caution you that these forward-looking statements may differ materially from actual results, due to a number of risks and uncertainties, which are outlined in our earnings release and our other filings with the Securities and Exchange Commission. At this time, I'll turn the call over to Duane Dewey, President and CEO of Trustmark.
Duane Dewey : Thank you, Joey, and good morning, everyone. Thank you for joining us this morning. With me are Tom Owens, our Chief Financial Officer; Barry Harvey, our Chief Credit and Operations Officer; and Tom Chambers, our Chief Accounting Officer 2024 was a transformational year for Trustmark, reflecting the sale of our insurance agency, the restructuring of our balance sheet and the expanded sales and service initiatives designed to meet the needs of our customers. These actions, along with other initiatives in prior years have significantly enhanced financial performance and Trustmark's earnings profile. Our capital levels rose meaningfully, which led to the Board's decision to increase the quarterly cash dividend, along with renewed activity in the share repurchase program. Our fourth quarter results reflect continued significant progress across the organization. Net income totaled $56.3 million, representing diluted EPS of $0.92 per share. This represents a linked-quarter increase of $5 million, or 9.7%, along with an $0.08 increase in diluted EPS. Our performance in the quarter produced a return on tangible common equity of 13.68% and a return on average assets of 1.23%. For the full year 2024, net income from adjusted continuing operations totaled $186.3 million, or $3.04 per diluted share. This represented an increase of $27.1 million, or 17% from the prior year. Now let's turn to Slide 3 for a summary of financial highlights. Let's start with the balance sheet. Loans held for investment totaled $13.1 billion at 12/31, down $10 million linked-quarter and up $139.4 million year-over-year. Deposits totaled $15.1 billion at year-end, down $132.8 million linked-quarter, which includes an intentional reduction in broker deposits of $150 million during the quarter. Excluding this planned runoff, linked-quarter deposits were basically flat, up $17 million. For the full year, deposits declined $461.6 million, which includes the planned reduction of high-cost public and brokered deposits totaling $726.8 million. Said differently, all other deposits increased $265.2 million in '24, while we diligently manage deposit costs. Revenue in the fourth quarter totaled $196.8 million, up 2.4% linked quarter. For the full year '24, total revenue from adjusted continuing operations was $740.5 million, up 5.6% from the prior year. Net interest income totaled $158.4 million in the fourth quarter, producing a net interest margin of 3.76%, up 7 basis points linked quarter. Tom Owens will provide a little color on the margin and NII, et cetera, in a few minutes. Noninterest income in the fourth quarter totaled $41 million, up 9% linked quarter, reflecting broad-based growth across virtually all fee-based businesses. For the full year, noninterest income from adjusted continuing operations totaled $156.1 million, an increase of 5.2% from the prior year. From an expense perspective, we've shown noticeable improvement. Noninterest expense from continuing operations in the fourth quarter totaled $124.4 million, up $1.2 million or 0.9% linked quarter. For the full year, noninterest expense from adjusted continuing operations totaled $485.7 million, a decline of $2.1 million from the prior year. Diligent expense management continues to be a focus of the organization. From a credit quality perspective, net charge-offs totaled $4.6 million in the fourth quarter, representing 0.14% of average loans. The allowance for credit losses represented 1.22% of loans held for investment and 341% of nonaccrual loans, excluding individually analyzed loans. Trustmark's capital ratios expanded meaningfully during the quarter as tangible equity to tangible assets increased to 9.13%, while the CET1 ratio expanded 24 basis points to 11.54% and the total risk-based capital ratio expanded 26 basis points to 13.97%. As I mentioned earlier, we resumed activity in the share repurchase program. During the fourth quarter, we repurchased $7.1 million or approximately 203,000 shares of common stock. And as previously announced, we authorized -- we are authorized to repurchase up to $100 million of Trustmark shares during 2025. Additionally, the Board announced a 4.3% increase in the regular quarterly dividend to $0.24 per share from $0.23 per share. The dividend is payable March 15, '25 to shareholders of record on March 1. This action raises the indicated annual dividend rate to $0.96 per share from $0.92 per share. Each action, the renewed activity in the share repurchase program and the quarterly dividend are reflective of Trustmark's improved financial performance and enhanced forward earnings profile. At this time, Barry Harvey is going to review the loan portfolio and credit quality.
Barry Harvey: I'll be glad to, Duane, and good morning. Turning to slide 4, loans held for investments totaled $13.1 billion as of 12/31, which is relatively flat for the quarter. Increases in the fourth quarter from multifamily, commercial and C&I loans and one to four family mortgages were offset by declines in state and political loans, other CRE loans and other loans. We expect loan growth of low single digits for 2025. As you can see, our loan portfolio remains well diversified, both from a product standpoint as well as from a geography standpoint. Looking at slide 5, Trustmark's CRE portfolio is 95% vertical with 73% in the existing category and 27% in construction land development. Our construction land development portfolio is 81% construction. Trustmark's office portfolio, as you can see, is very modest at $244 million outstanding, which represents only 2% of our overall loan book. The portfolio is comprised of credits with high-quality tenants, low lease turnover, strong occupancy levels and low leverage. Turning to slide 6. The bank's commercial loan portfolio is well diversified, as you can see, across numerous industries with no single category exceeding 13%. Looking to slide 7. Our provision for credit losses for loans held for investment was $7 million during the quarter, which was driven by the macroeconomic forecast as well as by net adjustments in our qualitative factors. The provision for credit losses for off-balance sheet credit exposure was $502,000, driven by net adjustments to the qualitative factors, increases in unfunded commitments. At 12/31, the allowance for credit losses for loans held for investment was $160 million. Turning to slide 8. We continue to post credit -- we continue to post solid credit quality metrics. The allowance for credit losses increased by 122% prior quarter was 1.21%, representing 341% of non-accruals, excluding those that are individually analyzed. In the fourth quarter, net charge-offs totaled $4.6 million. While both non-accruals and nonperforming assets increased slightly during the quarter, they have declined meaningfully year-over-year due to our continuing efforts to effectively manage and resolve problem assets in a timely manner. Duane?
Duane Dewey: Great. Thank you, Barry. Now, Tom Owens can cover deposits, net interest margin and non-interest income.
Tom Owens: Thanks, Duane, and good morning, everyone. Turning to deposits on slide 9. Deposits totaled $15.1 billion at December 31, a linked quarter decrease of $132.8 million and a year-over-year decrease of $461.6 million. The linked quarter decrease was driven by a $150 million decline in brokered CDs, which we allowed to run off at maturity rather than replace. Beyond the intentional runoff of brokered CDs, deposits increased by $17 million during the quarter with solid growth of about $157 million in personal balances and about $74 million in public fund balances. Those increases were offset by a decline of about $215 million in commercial balances. The year-over-year decline of $462 million was driven by declines of $398 million in public fund balances. That reflects our significantly less competitive posture on rate and $329 million in brokered deposits, which we chose not to renew at maturity. Looking beyond those managed declines in balances, personal and commercial deposits increased year-over-year by $265 million or 2.1%. While our primary focus, as Duane said, has been managing cost, while maintaining strong liquidity. Non-interest-bearing DDA balances remained resilient, declining by $69 million linked quarter and remaining in 20% of our deposit base. Time deposits increased by $4 million linked quarter, excluding the decline of $150 million in brokered CDs. As of December 31, our promotional and exception price time deposit book totaled $1.6 billion with a weighted average rate paid of 4.82% and a weighted average remaining term of about three months. Our brokered time deposit book totaled $250 million at an all-in weighted average rate paid of 4.85% and a weighted average remaining term of about two months as of December 31. The relatively short weighted average remaining term of these portfolios represents significant opportunity for continued downward repricing and time deposit repricing is a primary driver of the guidance that we're providing for further decline in deposit costs during the first quarter. Our cost of interest-bearing deposits decreased by 30 basis points from the prior quarter to 2.51%. Turning to slide 10. Trustmark maintains -- continues to maintain a stable, granular and low exposure deposit base. During the fourth quarter, we had an average of about 457,000 personal and non-personal deposit accounts, excluding collateralized public fund accounts, with an average balance per account of about $28,000. As of December 31, 64% of our deposits were insured and 12% were collateralized, meaning that our mix of deposits that are uninsured and uncollateralized was relatively unchanged linked quarter at 24%. We maintained substantial secured borrowing capacity, which stood at $6.5 billion at December 31, representing 179% coverage of uninsured and uncollateralized deposits. Our fourth quarter total deposit costs decreased 24 basis points linked quarter at 1.98%. The favorable variance to prior guidance reflects proactive strategic pricing actions that we took during the quarter in anticipation of the Fed's rate cuts in November and December. Based on those actions as well as the ongoing repricing of the time deposit portfolio, we're currently projecting a linked quarter decline in deposit costs for the first quarter of about 14 basis points to 1.84%. As a frame of reference for that guidance, we're on track for deposit cost of approximately 1.87% month-to-date in January. Turning our attention to revenue on slide 11. Net interest income FTE totaled $158.4 million, which resulted in a net interest margin of 3.76%. Net interest margin increased by 7 basis points linked quarter, driven by 27 basis points of accretion from liability rate and volume, offset by 20 basis points of dilution from asset rate and volume. Again, these results reflect the proactive pricing -- deposit pricing actions that we took during the quarter, which position us well for continued decline in deposit costs during the first quarter. Turning to slide 12. Our interest rate risk profile remained essentially unchanged as of December 31st with loan portfolio mix of 52% variable rate coupon. The cash flow hedge portfolio, which is structured to mitigate asset sensitivity had an active notional balance of $875 million and weighted average maturity of 3.4 years, including the effect of $500 million notional in forward settle swaps and $125 million notional in forward settle floors. The weighted average received fixed rate on $850 million active notional of interest rate swaps is 3.12% and the weighted average SOFR rate on $25 million active notional floors is 4%. Turning to slide 13. Non-interest income from adjusted continuing operations totaled $41 million in the fourth quarter, a linked-quarter increase of approximately $3.4 million and totaled $156.1 million for the full year, a year-over-year increase of about $7.7 million or 5.2%. I'll point out that the $7.7 million year-over-year increase includes the effect of a $3 million increase in negative net hedge ineffectiveness. So effectively, net of that, non-interest income was up $10.7 million or 7.2%, driven by increases in mortgage banking of $3.4 million or 13%, wealth management of $2.2 million or 6%, corporate treasury services of $1.5 million or 14% and service charges on deposit accounts of $1 million. And now I'll ask Tom Chambers to cover non-interest expense and capital management.
Tom Chambers: Thanks, Tom. Turning to slide 14, we'll see a detail of our total non-interest expense. During the fourth quarter, non-interest expense totaled $124.4 million for a linked-quarter increase of $1.2 million or 0.9%. The increase was mainly driven by an increase in salary and benefits of $2.5 million, resulting from an increase in annual performance incentive accruals during the quarter. Total other expense decreased by $2.2 million, driven by a decrease in other real estate expense net as a result of a valuation reserve established during the third quarter related to one assisted living property. For the year ended 2024, non-interest expense from adjusted continuing operations totaled $485.7 million for a year-over-year decrease of $2.1 million or 0.4%, which was a result of focused disciplined expense control during the year. Turning to slide 15, capital management. Trustmark remains well-positioned from a capital perspective. As Duane previously mentioned, our capital ratios remained solid. At the end of the quarter, common equity Tier 1 ratio was 11.54%, a linked-quarter increase of 24 basis points and total risk-based capital ratio was 13.97%, a linked-quarter increase of 26 basis points. During the fourth quarter, we resumed our share repurchase activity and repurchased $7.5 million or approximately 203,000 common shares. Although we currently have a $100 million share repurchase program in place for year-end 2025, our priority for capital deployment continues to be focused on organic lending. As Duane indicated, we will continue to evaluate the share repurchase program as the market and capital levels dictate. Trustmark's Board of Directors announced an increase in its regular quarterly dividend from $0.23 to $0.24 per share, resulting in an increase of 4.3%. This action raises the indicated annual dividend from $0.92 per share to $0.96 per share. Back to you, Duane.
Duane Dewey: Great. Thank you, Tom. Now turning to slide 16. You'll notice a new format for our guidance in 2025. We now include 2024 benchmarks, upon which our 2025 full year guidance is based. We expect loans held for investment to increase low-single-digits for the full year 2025 and deposits, excluding brokered deposits, to increase also low-single-digits during the year. Securities balances are expected to remain stable as we continue to reinvest cash flows. We anticipate the net interest margin will be in the range of 3.75% to 3.85% for the full year, while we expect net interest income to increase in the mid to high-single-digits during 2025. From a credit perspective, the provision for credit losses, including unfunded commitments is expected to remain stable relative to 2024. Non-interest income from adjusted continuing operations for full year 2025 is expected to increase mid-single-digits while non-interest expense from adjusted continuing operations is expected to increase mid-single-digits as well. And as already noted, we'll continue our disciplined approach to capital deployment in 2025 with a preference for organic loan growth and potential market expansion. We'll be considering M&A activities and then other general corporate purposes as we've already described, such as repurchase, et cetera. So with that, that concludes our prepared comments, and we'd like to open the floor for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Catherine Mealor with KBW. Please go ahead.
Catherine Mealor: Thanks. Good morning.
Duane Dewey: Good morning, Catherine.
Tom Owens: Good morning, Catherine.
Catherine Mealor: I wanted to start -- first of all, congrats on a great quarter and a great end to the year. And I wanted to start just to piggyback on some of the commentary you gave, Tom, on the full year margin guide. It was helpful to hear where you think deposit costs are going. Can you talk a little bit about loan pricing, and how you're thinking about loan betas and incremental loan pricing over the next couple of quarters?
Tom Owens: Well, I'll start, Catherine, and we'll see if Barry wants to weigh in. As you know, roughly half of the book is floating rate. We do have in the forecast based on market implied forwards two Fed cuts 25 basis points a piece, one in March, one in June. With respect to the loan pricing dynamics, I'll let Barry address spread. I mean, the other factors are obviously our spread on floating rate loans coming on the books as well as the differential between fixed rate loans maturing and going off the books, and then the lift that we've been getting from new fixed rate loans coming on the books in prior quarters, when I've commented on that dynamic, I think I've said you can sort of rely on a tailwind, so to speak, on the fixed rate loans of 2 to 3 basis points per month. I think with the higher for longer -- the longer interest rates that remains higher here, some of that effect is diminished. So whereas I previously said 2 to 3 basis points, maybe I'd say now, 1 to 2 basis points. So that continues to represent a tailwind, but not quite as much. Really, Catherine, the primary driver is deposit costs. The reason I go through the statistics in the prepared commentary on the time deposit book is it is very short. And just to give you an idea here on a point-to-point basis, say, from the end of the third quarter to the end of the fourth quarter, the time deposit book price got about double that amount. So it's really a key driver of the guidance for the linked-quarter NIM and then for the full year NIM because, obviously, that repricing continues in quarters beyond that at a diminishing rate, obviously. But I'll let Barry weigh in with any thoughts on loan pricing.
Barry Harvey : Well, I'll just make a couple of comments, Tom. I think from a Q4 weighted average interest rate book standpoint, we were about 7.11% versus the book average of 6.07%. So we do continue to have, as you said, the tailwind of what's going on. It's obviously at a higher rate than what's currently in the portfolio. From a standpoint of where we're seeing most of our activities, Catherine, on the CRE side, which obviously all of that for us is floating. And we are still seeing the spread for the most part, be at levels that we've previously benefited from. We'll see one-month LIBOR plus 300, maybe 285. That's the world we kind of lived in during 2023 in the first half of 2024. It got a little bit more competitive in the third quarter, where some banks got back involved that had not been active in the CRE space, but it seems to have settled down from there. And that one-month LIBOR plus 285 [ph] with a 75, 80 basis point fee is where we're kind of settling in. It looks like that everybody in the market is behaving a little more rationally and understanding what the risk is and needing to get paid for it. So we're very pleased to see that transition occur kind of during the fourth quarter.
Catherine Mealor: Okay. Great. And on loan growth, your low single-digit guidance, it feels like everyone in the industry is feeling a little bit better about the outlook for loan growth this year. And just curious within that, does that low single-digit include maybe better origination volume, but still the impact of paydowns? Or are you still seeing kind of origination volume not pick up as a faster pace as we may have expected? Thanks.
Tom Owens: Sure. And Catherine, I'll be glad to kind of -- I'm going to kind of go through this succinctly, hopefully, but I want to make sure we cover it because it's important. As you said, for 2025, we are guiding to low single-digit loan growth. During -- actually, during '23 and the first half of '24, the CRE activity was less clearly than we experienced in '21 and '22, which were very, very strong years and therefore, everybody is seeing some maturities in '25, '26 from that strong production in '21, '22. We did see a nice pickup in production for CRE in Q3 and Q4 of this year. That looks like that's going to be the trend going forward, and we're very pleased with that. Remember, and we can't project what the customer is or is not going to do. But remember, with all of our CRE construction mini firm products, there are two 1-year extension options that are fully underwritten at the time of origination. So all the terms, pricing, everything is known to the customer. And assuming they're meeting certain performance hurdles, they can avail themselves of that extra year and then that extra second year if they so choose. So, we did see in the fourth quarter, Catherine, a significant increase in the number of extension options being exercised in Q4 that were going to be 2025 maturities. Now, we're not making the assumption in our guidance that, that's going to continue throughout '25, but it very well may. And obviously, when you're talking about projects that are $20 million or $25 million on the books, if they stay around, it moves the needle very quickly. I will say our corporate, commercial and CRE production pipelines continue to look very strong. And as I mentioned, like our peers, 2021, 2022, extremely strong CRE production periods. And when you think in terms of an average 4-year duration, then you can see where '25 and '26 could have heavier maturities from that strong production in '21, '22. That doesn't mean they're going to leave us in our case, because we've already underwritten those two 1-year extension options, but we don't know with any certainty that they will or won't. All we know is the maturities we have in front of us. We're very -- we'd like to be very optimistic about the fact that they're going to take up us on those extensions. We're beginning to see it in the fourth quarter of 2024, but we don't know how much follow-through they'll be there. The interest rate environment settling down may allow for more of our customers to decide they do want that additional 1 year to find whether they're going to move it to the primary market or decide whether or not they're going to sell it and they're happy with the cap rates. And so, we're starting to see that, but we don't know what the follow-through will be.
Barry Harvey: Catherine, I'd like to just add real quickly, too, we continue to hear very positive production opportunity on the equipment finance side. C&I, which is middle market, corporate and our basic commercial banking, we're hearing from the respective teams out there, their pipelines are increasing. We had a very solid corporate middle market fourth quarter, which -- some of which hadn't funded yet, which we have some optimism there that, that will begin to fund in 2025, as well as new production in 2025 with the other categories. So overall, we're still a little -- we want to see it happen a bit, but we come into 2025 optimistic. And then as Barry described on the CRE front, that can play to the positive. It can still be a bit of a headwind in the payoff category. But at the end of the day, that's where the guide comes from in that low single-digit range.
Catherine Mealor: That makes sense. Okay. Very helpful. Thank you. Great quarter.
Duane Dewey: Thank you.
Barry Harvey: Thank you, Catherine
Operator: The next question will come from Christopher Marinac with Janney. Please go ahead.
Christopher Marinac: Hey, thanks. Good morning. I wanted to ask about your thoughts about net charge-offs. And is there any tolerance to have a little bit higher loss rate to get more growth? And kind of how do you think through that, not just near-term, but over the intermediate run?
Barry Harvey: And Christopher, this is Barry. I would say that we know just from the number of deals we're in with other banks that we're very much in line with -- from a credit risk-taking standpoint with a lot of our peers and even some of our -- some of the larger regional banks. And so I think from the standpoint of additional risk taking, it's more a function of the opportunities coming forward than it is necessarily the deals we're passing on that we might could possibly do and that might end up resulting in a little more charge-offs from that perspective. I do think we're very careful and very aggressive in terms of rating our credits, whether they criticized or classified, and we want to make sure we're maintaining high credit quality at all times. I think it's more of a function of the market improving and providing more opportunities to look at deals. And I think the higher rates are somewhat slowing that down on both the C&I and the CRE front, although I will say with 100 basis points drop that we've experienced, a lot more CRE deals pencil today than they did previously. So I think it's a function from a CRE perspective of the funds being available in order to put in the equity, and that's beginning to improve. But until you see the availability of the equity for the developers coming into the deal so they can -- then they can go and move the one they've got on the books today and move forward on the next project. That's what we're kind of needing to see is when you talk about risk-free 5% returns, then there's not as many funds that are interested in plowing money into projects, as they were when it was -- when you had no option in terms of a risk-free return. Now that's all seeming to settle out now, and there's more fund money coming back in to these projects, which allows for the developments to move forward. But I think from the standpoint of decisioning the credits that we have an opportunity to look at, I think we're as aggressive as any of our competitors. They're in these deals. So we're jointly determining the underwriting. So I feel very confident that we're in sync with what others are doing.
Christopher Marinac: All right. Great. Thank you for that background. And then just one follow-up just on expenses. Do you have any color or just observations on sort of net new deposit accounts and sort of just the flow of new customers from the deposit side? I mean we realize the balance changes quarter-to-quarter, but just thinking out loud about how new accounts and customers are added to the Trustmark organization?
Tom Owens: So Chris, this is Tom Owens. I'll start. I'm a little confused by the question, connecting the dots between expenses. I think you were asking about and then deposit accounts. I'll start with addressing deposit accounts. I would say with respect to operating accounts, there's been -- there's always a natural churn, right? -- Attrition versus new account openings. And we've been very steady in that regard. When you look at -- when we talk about the number of accounts and when you look at the increases in accounts, the headline in 2023 and 2024, very much a function of promotional activity, especially as it relates to time deposits. So you sort of have to put those off to the side, when you're talking about number of accounts outstanding and growth or decline in accounts, because as we talked about in the prepared commentary, we -- in 2024, we've very much been focused on managing cost and balancing the relationship between loan growth and deposit account -- deposit growth. But I would say, just in terms of our competitive position and do we continue to push forward in growing accounts at a consistent rate, the answer is, yes.
Duane Dewey: And Chris, did we miss the first part of that question? Was there another part of the question?
Christopher Marinac: No, actually. It was really account opening that Tom described. So I'm good on that. Sorry, if I mentioned expense, that was not my point. So thank you very much for the call this morning.
Duane Dewey: Thank you.
Tom Owens: Thanks, Chris.
Operator: The next question will come from Gary Tenner with D.A. Davidson. Please go ahead.
Gary Tenner: Thanks. Good morning. I appreciate the color on the puts and takes…
Tom Owens: Good morning, Gary.
Gary Tenner: Hey. Good morning. I appreciate the color on the puts and takes for 2025 loan growth. I was curious about the C&I traction in the fourth quarter. I think you had indicated in the past that maybe post-election, there was increased optimism, the pipelines have strengthened up. Is there any follow-through in terms of the period end balances there? Or is that purely kind of year-end maybe seasonality and drawdown on lines that maybe reverses in the first quarter?
Barry Harvey: Hey Gary, this is Barry. I think there definitely is some follow-through that's going to occur during 2025. In the fourth quarter of 2024, what you saw was a combination. We had some new opportunities, new bookings that funded and then we also had an increase in line utilization. We typically have been in that 37% range. In Q3, we moved down to 35%. That was part of our -- a little bit of shrinkage we had in Q3. And during the fourth quarter, we did move up to 36%. So I think there's opportunities to continue to obviously move back to 37% and beyond in terms of line utilization. And we are -- we did have some good production that was actually approved and funded during the fourth quarter. We expect that trend to continue with our C&I producers. I mean they're very, very active out making calls. We've got some newer individuals to the bank, who have a long experience in that type of lending. We expect to see some additional production coming from them as well as our long-term associates.
Duane Dewey: And I'll just chime in a bit. As you will recall, over the last couple of years, we've talked about, Fit to Grow, and adjustments we've made throughout our franchise, particularly in the retail commercial banking franchise, but also in our institutional businesses. And through that process, there was some churn and some change and adjustment. 2024 was more of let's -- we're starting to form now and produce. And I think going into 2025, we feel good about the structure and the team in place. As Barry noted, probably in the last 60 days, we've added 10-plus new production personnel that spans from equipment finance through commercial banking into corporate banking, all focused on C&I production. And as noted, they are very complementary to the restructuring stuff that we did. So, we're expecting to continue to see improved performance out of all of our C&I categories in many of our markets. So, that's kind of mixed in there also.
Gary Tenner: Thanks. I appreciate the color there. And then a quick question just on the stock repurchase, I know you talked about it a bit in your prepared remarks. Given the outlook for pretty moderate loan growth and overall balance sheet growth and a good return profile, there don't seem to be any looming restrictions to continuing the buyback dependent on the price, of course. But am I missing anything there?
Duane Dewey: Other than the $100 million authorization from the Board, that's the operating restriction, if you will, as you described that we might have. But as you know, I mean, that's a function of a lot of different considerations there. One, what's happening on the growth side of the equation as well as then what's happening in M&A or any other considerations that we might have as we move into the year. So, there's a lot of different factors that play into that. We meet and analyze regularly and consider the best way to use capital, and that is one of those alternatives. So--
Tom Owens: Yes. And I would just add -- this is Tom Owens. I would just add, our risk-based capital ratio has accreted pretty nicely. during the fourth quarter, up about 25 basis points or so. And you look at CET1 at about 11.5%. I can't imagine you get up to about 12% or so and just -- without the share repurchase program, even with more robust loan growth, there's, in all likelihood, going to be -- continue to be the opportunity to deploy capital via repurchase. And again, we do view it as an attractive opportunity from a return perspective. We have a pretty diligent framework, diligent process by which we evaluate share repurchase activity. So, I would imagine that you will see a continuation of the activity.
Gary Tenner: Great. Thank you.
Duane Dewey: Thank you.
Operator: The next question will come from Eric Spector with Raymond James. Please go ahead.
Eric Spector: Hey, good morning everybody. This is Eric dialing in for Michael. Thanks for taking the questions. Maybe just touching on your expense guide. I'm just curious some of the investments that you've got embedded in your expense guide. Obviously, there's some natural expense growth or normal inflation, but just curious what kind of investments you're focused on?
Duane Dewey: Well, it's across the board in terms of technology investment, a number of different initiatives across the organization, one of which includes the core conversion that will be a focus for the company here throughout 2025. We continue to invest in digital technology and so on to serve customers across the board. When you step back and look at the 2025 expense guide, there's significant continued pressure, I think on the personnel front, salaries and benefits, a very significant increase in healthcare costs that are true to the industry and true to all different categories out there. So there are a number of different pressures that are just impacting the expenses for 2025. Those would be ones that come to mind. I don't know, Tom or Tom, if you'll have anything to add to that.
Tom Owens: I'd probably add risk infrastructure, continuing to invest in our risk infrastructure and ensure that we have the right framework in place to continue to allow us to grow both organically as well as potentially through acquisition.
Duane Dewey: And then I did leave out, as I already commented on in prior comments, the new production staff, of course, across a lot of different markets and all of our different categories of production, we're gently focused on those categories as well, adding to our potential for growth, and those all add to the equation.
Eric Spector: That's great color. And then maybe just touching on deposits. You've done a great job reducing costs. Just curious how client reception has been, whether you've seen any pushback or attrition from that. I know most of the runoff this quarter was from the brokered -- the intentional brokered runoff. But just curious if you could touch on some of the non-interest-bearing and DDA trends and how much of that is seasonal dynamics versus migration in accounts and just the outlook for deposit growth broadly going into 2025?
Tom Owens: So this is Tom Owens. I would say we've been very pleased to date with the pricing actions, the reaction to the pricing actions that we took in the third and fourth quarter. There's really not been a noticeable increase in attrition in deposit accounts as a result of those actions. And again, as we said in the prepared remarks, I mean, if you get past the managed declines of brokered CDs and the public fund balances where there's just a certain portion of that public fund deposit base that is very competitive on a bid basis. And so again, we're trying to maintain our liquidity -- strong liquidity in the mid-80s in terms of loan-to-deposit ratio. And so we're just -- we're really backed off on some of the more competitive bid situations. But -- so that leaves you with the core deposits, personal and non-personal that grew over 2% for the full year in 2024. And so given what our competitive posture looked like and our focus on rationalizing costs, we feel really, really good about that, and we feel really good about our ability to continue to fund balance sheet growth cost effectively. It's interesting when you look at Slide 10 of the deck and you look at the way we've managed to slowly but surely widen the spread between our deposit cost and the KRX median deposit cost. And I would speculate based on what we've seen here during earnings season that we probably widen that spread again during the fourth quarter. So I think this environment right now has been an opportunity for us to distinguish ourselves in terms of the value of our deposit base and we expect that to continue here in 2025.
Eric Spector: Great. That's great color. And then maybe one last question for me, and then I'll step back. Just kind of a question on credit, MPAs ticked modestly higher, still relatively benign. It looked like particularly in Mississippi. Just curious whether you're seeing any migration and how you think about credit broadly and if there's anywhere you're watching more closely than others?
Barry Harvey: And Eric, this is Barry. I would say, we're obviously very focused on it day in and day out and making sure very, very robust annual review process for all of our credits of any size and along with a number of different ways in which we've got -- we're monitoring all the triggers on our credits to see what might encourage us to go dig into a credit that maybe is showing some signs of weakness. But there's not really a category that we're more focused on than the other. Obviously, CRE is one that with the 550 basis point increase from the Fed, they've obviously given back 100 of that. But that increase weighed on -- like it did with all banks, it weighed on the CRE projects, and the -- how they were pro forma and how they're maturing through the lease-up process. Now, I think we've done a good job of going in and being very aggressive and adjusting grades as timely as needed and therefore reflective in our clear-size and classified levels. I do feel like that we've got more credits in front of us that we're going to be upgrading than we do downgrading as we move into 2025 based on everything we know at this point. So I feel very comfortable that this is a cycle, and these credits are going to cycle back from a non-pass to a pass category. And I do think the 100 basis points helps that. But time helps that as well, because most of these projects that are struggling just need an additional six to nine months to get to where they should have been, or they're six to nine months behind, looked at another way, in terms of getting the occupancy level or getting the rents that they were originally pro-format and underwritten at. So while we are monitoring everything and watching it very carefully as we should every day, I am encouraged that we will see the cycle begin to turn back up, and we'll see, like I said, more upgrades and downgrades as we move forward.
Eric Spector: Great. Thank you for taking the question, and congrats on a good quarter. Thank you for taking the questions and congrats on a good quarter.
Barry Harvey: Thank you.
Operator: The next question will come from Andrew Gorczyca with Piper Sandler. Please go ahead.
Andrew Gorczyca: Hi. Good morning, everyone.
Duane Dewey: Good morning.
Barry Harvey: Good morning.
Andrew Gorczyca: A lot of my questions have kind of been answered at this point, but I just wanted to hop back to maybe capital priorities in the prepared remarks. You touched on organic lending being the top priority, and then followed by potential market expansion. And just to follow up to that, just wondering what regions present the most attractive growth opportunities in 2025?
Duane Dewey: So, first and foremost, organic loan growth is certainly the most cost-effective way to use capital. So, that continues to be a focus, and I've already commented on, some of the production staff. And then further, I commented on the fact that we had been through some restructuring and so on. And through that process, we have plenty of opportunity to add production staff in a lot of our existing markets, Houston, South Alabama, the Mobile, Baldwin County area. In Birmingham, specifically, Birmingham is a significant opportunity for us. Atlanta, we had opened a loan production office in Atlanta several years ago. We've now continued to expand all of our offerings in that market. Equipment finance is another area where we've had very solid success with a fairly limited production team, of which we're now adding to the production team in the equipment finance area. Then if you step back and look at our footprint, we have very attractive markets in and around the core franchise up into Tennessee, over into Texas and so on. So those are all things that will be on the drawing board. The most likely for 2025, however, would be adding to existing production staff and expanding markets where we already serve.
Andrew Gorczyca: Got it, makes sense. That’s all I had. Thanks for taking the question.
Duane Dewey: Thank you.
Operator: The next question will come from David Bishop with the Hovde Group. Please go ahead.
Q – Unidentified Analyst: Hi. Good morning, guys. This is John [ph] on for Dave.
Duane Dewey: Hi, John.
Tom Owens: Good morning.
Q – Unidentified Analyst: So just wanted to start quickly on the hedge front. I was wondering if you could just share your thoughts on how the hedging strategy should impact the margin moving forward, particularly in the event that we get, say, another one to two cuts this year, if that's possible to quantify?
Tom Owens: Well, it's absolutely possible to quantify. This is Tom Owens. Again, the cash flow hedge portfolio is designed to mitigate some of the volatility to net interest income that comes with changes in interest rates. As we said in our prepared comments, 52% of the portfolio is floating rate. So we've taken a portion. So that's in round numbers, $6.5 billion, something like that, floating rate loans. We've -- essentially, John, the way to think of it is we've taken of the roughly $6.5 billion of floating rate loans, we have effectively swapped them via $875 million notional, $850 million notional interest rate swaps and $25 million of floors. So that's the correct way to think about it. In terms of impact of the portfolio itself, I mean, the simple math is $850 million of fixed rate loans for 100 basis point shock, we would benefit all other things equal by $8.5 million, right? And so if you -- let's say, you do get two cuts, one in March, one in June, then in the second half of 2025, we would benefit by $4.25 million from having had the cash flow hedge portfolio in place relative to our current run rate net interest income.
Q – Unidentified Analyst: Very helpful. Thank you for that. And I guess just pivoting and not to beat a dead horse here on the deposit front. I appreciate all the color on the forecasted beta and how time deposit costs have trended thus far in January. I guess I'm just curious as to how much lower we could see deposits reprice in 1Q and 2Q in the event that we don't see a cut in March or a cut in June?
Tom Owens: Well, it's a good question. And I would tell you, as I said earlier in my prepared commentary, our guide for the year in terms of net interest margin, our guide for the first quarter in terms of deposit cost, is very much a function of the ongoing repricing of the time deposit book. At this point, we have very little pricing. And as I said, we do have 25 basis point cuts based on the market implied forwards in our forecast for March and for June. And we have very little reduction in interest-bearing non-maturity deposit costs associated with those. And so, I think it's a conservative guide at this point in terms of deposit costs for the full year. I'll give you an idea on the beta. I mean what we're modeling at this point is -- so we just printed 1.98% for deposit cost in the fourth quarter. We're guiding to 1.84% in the first quarter based on where market implied forwards are today, that would probably drop to, say, by fourth quarter of this year, call it, 1.70% or so in round numbers. And that would represent -- to my way of thinking that would represent a beta, so to speak, of about 34%, right? So if you took in the numerator, if you took the decline from our peak deposit cost for a quarter of 22%. And then if you said, okay, let's say, about 1.70% in the fourth quarter of 2025. Take that in the numerator and then in the denominator, take 5.5% Fed funds went down to 4% Fed funds target, and you should get a beta of about 34%. So that's currently what we have modeled, and that's what's driving our guidance at this point in terms of net interest margin for the full year.
Q – Unidentified Analyst: Understood. That’s fantastic color and much appreciated. That’s all I had. Congrats on the quarter guys, and thank you for taking my questions.
Tom Owens: Absolutely. Thank you.
Duane Dewey: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Duane Dewey for any closing remarks. Please go ahead.
Duane Dewey: As we mentioned, we feel like the fourth quarter and 2024 were very positive years for Trustmark and look forward to 2025 here coming -- moving forward. And we appreciate you joining the call this morning, and we'll look forward to reconvening back at the end of April. Have a great rest of the week.
Operator: The conference call has now concluded. Thank you for attending today's presentation. You may now disconnect.